Operator: Welcome to the Sealed Air conference call discussing the company’s fourth quarter and full year 2009 results. This call is being recorded. Leading the call today William V. Hickey, President and Chief Executive Officer and David H. Kelsey, Senior Vice President and Chief Financial Officer. After managements’ prepared comments they will be taking questions. (Operator Instructions) Now, at this time I would like to turn the call over to Amanda Butler, Director of Investor Relations.
Amanda Butler: Before we begin our call today I would like to remind you that statements made during this call stating managements’ outlook or predictions for the future are forward-looking statements. These statements are made solely on information that is now available to us. Our future performance may be different due to a number of factors. Many of these factors are listed in our most recent quarterly report on Form 10Q which you can find on our website at www.SealedAir.com. Now, I’ll turn it over to Bill Hickey, our CEO.
William V. Hickey : Welcome to what is coincidentally the celebration of bubble wrap appreciation day. I’m Bill Hickey, President and CEO of Sealed Air Corporation. With me on the call today in addition to Amanda, we have David Kelsey, our Chief Financial Officer. During today’s call I would like to highlight our business performance for the year, provide highlights for the quarter and touch upon our 2010 guidance. Dave will then discuss details of our financial results. After Dave’s remarks we will take your questions both from the phone lines and via text on our webcast. This morning we reported our full year 2009 adjusted earnings per share of $1.44. This figure excludes a number of items which we highlighted in our press release. This modest growth in 2009 profit in a very challenging economic environment was a result of stabilizing input costs and benefits generated from the tremendous work and sacrifice by our employees worldwide. Looking back at the year we initially laid out a number of strategic and operational goals which allowed us to maintain a balanced approach through the recession. These included staying focused on the customer, making sure we keep the innovation pipeline flowing, capitalizing on growth in the emerging markets, investing in our core and driving efficiency and productivity. I am pleased to report that we exceeded our targets in many areas. For example, we broaden our customer base this year as we expanded our solutions in to new regions. We also continued to expand our presence in existing applications with the strong value propositions and solutions we offer. We launched over 25 new solutions this year including our first integrated packaging software solution branded PakFormance which allows customers to track yield and productivity on their packaging equipment, our new CT301 shrink film which represents a breakthrough manufacturing technology that produces measurably thinner films that offer the same, if not better performance than thicker films thereby providing a positive environmental story to our customers. We also expanded our portfolio with products using recycled content including our new Ethafoam HRC which contains a minimum of 65% recycled plastic with little change in the performance characteristics which we are making especially for one computer customer in the Southwest. Looking to developing regions, we believe that our platform investments position us well to capture the higher rate of recovery coming from these regions in 2010 and beyond. We saw this in the fourth quarter in particular where we experienced a 12% constant dollar sales increase in the brick countries of the world. We also saw a 7% constant dollar sales increase in the developing regions overall. This growth expanded our developing region sales to 17% of our consolidated revenue mix for the full year up from 16% last year. This continues the long term expansion of our international sales mix which we expect to continue to outpace advanced regions in the years ahead. Our global footprint is expected to be a meaningful contributor to our growth and profitability going forward. As the US and European economies experience below average growth as they gradually recover from the recession and adjust for lower consumer spending as a percentage of GDP, the emerging markets and developing economies of the world will grow faster and our global presence in those markets will be a benefit to our growth. In conjunction with our GMS programs which contributed $20 million of incremental benefit this year we continued to invest in the growth of our core business by upgrading key technologies and expanding product lines in higher growth regions. We also saw $40 million in benefit from our 2008 cost reduction and productivity program and continued to gain new efficiencies from the deployment of our global SAP system which will drive benefits for us in the years ahead. All of these efforts contributed to a 320 basis point increase in gross margin to 28.7% and a 340 basis point increase in our operating margin to 11.6% in the year and getting close to that 30% gross profit in the fourth quarter. Dave will speak to these in more detail in a few minutes. Our margin growth especially stands out when looking at this year’s top line sales performance. Sales declined 7% on a constant dollar basis which primarily reflects an 8% decline in volumes and relatively flat pricing. As we have highlighted all year, volumes were most impacted in our industrial business while our positions in food and medical held relatively steady. Looking at price mix we were able to maintain a $21 million price mix spread for the year as food packaging prices offset some selective price declines in our protective packaging business. As I believe that our fourth quarter momentum is setting the pace for us in 2010, I’d like to highlight a few items in our largest segments before I discuss our 2010 guidance. In the quarter we saw a 4% sequential sales increase which excludes foreign exchange. This increase was led by food packaging with a 6% increase and protective packaging with a 4% increase. Both of these increases reflect seasonal upticks although the seasonal increase in protective packaging was lower than what we would normally see outside of the recession environment. This growth combined with the benefits of our various programs and stable input costs helped expand margins in the quarter and we reported a $0.40 adjusted EPS. Looking at our food packaging business, although we did see strong sequential sales in the quarter, we did experience a 3% volume decline on a year-over-year basis. This volume decline was largely due to ongoing weak equipment sales due to the economy and primarily in Europe. On a strong note we saw solid sales growth in our product serving beef and pork applications and we were able to broaden our customer relationships in the Americas and Europe. In Latin America, strong domestic consumption of beef in Brazil and in Argentina drove solid sales growth in that region. This effectively jump started double digit sales growth in Brazil and in Argentina, that country saw their highest beef per capita consumption rate in the last 15 years. Lastly, we launched a number of new products in the fourth quarter. These included two new automated loaders and our new deli snap tray which is on leading retailer shelves today and we expect more retail debuts to occur in 2010. We’re expecting these same product trends to continue in 2010 and we expect our efforts will be supported by steady fresh red meat production and growing export levels. Food solution sales continue to track sequentially flat in the fourth quarter although we did see 5% lower volumes on a year-over-year basis. This decline is primarily due to lower sales to the food service sector which continues to see record low traffic in restaurants and record lower sales in 2009. On a positive note, we are pleased with the momentum we’ve started to build in North America with retailers around our new Mirabella case ready format, our Darfresh solution and new versions of our Simple Steps ready meal products. In Europe we are pleased with the acceleration of our case ready sales in Russia and the new placements of our Darfresh solution, both good signs of positive momentum going in to 2010. As we’re also anticipating a slightly recovery in the restaurant and food service sector in the second half of 2010 we expect to start seeing an increased interest in equipment placements in that segment as well. Finally, the protective packaging segment experienced its best year-over-year 2009 performance in the fourth quarter with volumes down a modest 3% lower in the quarter. We still have yet to lap last year’s sales but we do see our performance tracking to proxies and feel that our modest 4% sequential uptick due to seasonality may also be in line. In the quarter we did see a pace of recovery in the brick regions that was equal or higher than in North America validating our reasons for the global footprint that the company has. This was especially true in our shrink film business which saw positive year-over-year growth in Asia in the quarter due to both a pickup of export activity but also to the successful launch of our new CT-301 technology. The success of CT-301 was also seen in Mexico where that product has quickly grown. During the quarter we had a very strong launch of five new protective products at the Pack Expo Show in October. These solutions have been very well received and we are enthusiastic about the potential for these systems to positively impact our business over the next few years. As such, we’re expecting an ongoing modest rate of recovery to continue in 2010 with stronger recoveries occurring in our regions outside of the United States and Western Europe. With the success in the businesses, we entered 2010 with good momentum, strong focus, leaner cost structure and a positive attitude ready to capture the opportunities that arrive from the economic recovery. As such, we are guiding a full year EPS range of $1.48 to $1.68 or $1.50 to $1.70 if adjusted to exclude the $0.02 we expect to incur relating to the final stages of our GMS program in 2010. As we stated in our press release we are assuming a modest recovery with constant dollar sales growth between 4% and 6%. We are also assuming that we may face an average mid single digit increase in resin prices during the year. For foreign currency translations we have assumed the US dollar averages $1.43 per euro for the full year. We have outlined a number of more mechanical assumptions that tie to our guidance range in our press release which I will not repeat here out of interest for time. I would like to remind everyone that in 2010 our fully diluted share count is expected to be 176.2 million shares. Additionally, our current guidance does not factor in the payment of the W.R. Grace settlement as the exact timing of the settlement is still unknown. However, the interest expense associated with the principle payment currently equates to approximately $0.01 per share of EPS on monthly basis. As such, we will update our guidance once we have more definitive information on the Grace settlement. Now, I would like to turn the call over to Dave Kelsey to review some additional details on our financial performance and our liquidity situation.
David H. Kelsey : As our financial statements present, sales for the quarter were $1.1 billion. Gross profit for the quarter increased 8% or $26 million to $334 million. Excluding favorable foreign currency translation of $12 million, gross profit would have increased 5%. Our food packaging and protective packaging segments both increased gross profit $13 million compared to last year. This improvement was despite lower sales volume as we benefited approximately $20 million from lower resin costs and benefitted approximately $10 million from our global manufacturing strategy or GMS and from our 2008 cost reduction program. Fourth quarter marketing, administrative and development expenses for the first time this year were higher than the comparable quarter in 2008. This $32 million increase was largely due to a $30 million increase in incentive compensation. Approximately one half of this amount was in the form of non-cash long term stock-based compensation related to the achievement of 2009 performance goals. Our 2009 proxy statement explains in detail how these performance based awards are structured. Operating expenses were also impacted by $7 million of unfavorable foreign currency translations. Partially offsetting these amounts were benefits of approximately $5 million from our 2008 cost reduction program and from lower travel and entertainment expenses. Operating profit was $128 million or 11.2% of revenue after adjusting for $5 million of favorable foreign currency translation and $9 million of GMS restructuring and non-recurring items. Another useful metric to measure operating performance is adjusted EBITDA which was 17% of net sales in the quarter compared to 15% last year. Our calculation is shown in the supplementary information furnished with our financial statements. We were able to achieve this increased level of adjusted EBITDA despite lower sales, the cost of the benefits from lower resin prices and the cost savings accomplished in 2009. Interest expense increased by $9 million in 2009 compared to 2008 reflecting additional interest of $16 million in the fourth quarter on two first half note issuances. The 12% notes issued in February 2009 and the 7 7/8ths note issued in June 2009. Partially offsetting the additional interest expense was a reduction of $8 million resulting from the maturity of our 6.95% note in May 2009 and the redemption of our 3% convertible notes in July 2009. Looking ahead to 2010, we are expecting interest expense to be approximately $160 million. This amount reflects a full year of accrued interest on the W.R. Grace settlement. There is still no date certain for the funding of the settlement however, if we were to fund the settlement on June 30th we would expect our interest expense to be approximately $20 million less or $140 million for the full year. Other income increased by $13 million in 2009 as compared to 2008. This increase is primarily attributable to a foreign currency exchange gain related to the repatriation of cash from our foreign subsidiaries during the fourth quarter of 2009. Next, I’d like to summarize the cost and benefits of two of our key programs. First, the cost reduction in productivity program we announced in July 2008, reduced employment by approximately 900 positions or 5% of our workforce from the June 30, 2008 levels. We realized approximately $40 million of incremental savings in 2009 and $55 million overall from this program. These savings were split almost equally between cost of sales and operating expenses. From a cash flow perspective we made cash payments of approximately $37 million in 2009 primarily for termination benefits. We expect to make the remaining payments totaling $7 million by the end of the second quarter of 2010. Substantially all of the 2009 and 2010 payments were charged to earnings in 2008. Second, we recorded charges of $16 million in 2009 related to the implementation of our global manufacturing strategy. These charges were split almost equally between our cost of sales and restructuring charges. Our incremental benefit for the full year was approximately $20 million and we remain on track to realize additional incremental benefit of $10 million in 2010. This would bring our cumulative benefit to $55 million in 2010 and thereafter in line with our expectations when we introduced this program in 2006 with its focus on adding capacity in emerging markets. I’ll conclude with some key balance sheet and cash flow items. Our receivables declined $16 million from December 31, 2008. Excluding $25 million of foreign currency translation and excluding the repurchase of $80 million of receivables included in our receivables securitization facility in December 2008, receivables would have decreased $121 million or 16%. We did not utilize our accounts receivable securitization facility in the fourth quarter of 2009. We continue to be focused on our credit and collection efforts in the current economic environment and to date we have not experienced any material deterioration in our accounts receivable portfolio. As evidence of the diligence of our collection team, our days sales outstanding were five days lower at December 31, 2009 than at December 31, 2008. Inventory investment at December 31st declined $95 million during the year. Excluding $22 million of foreign currency translation, inventory would have declined $117 million on a constant dollar basis during the year. This continues to be a coordinated effort involving sales, supply chain and customer service with support from finance and information systems. Debt, net of cash and cash equivalents at December 31st was $966 million down $382 million or 28% from the end of December 2008. This decrease is attributable to the record free cash flow we generated this year. At December 31st we had $695 million in cash and cash equivalents. In addition, we continued to have access to nearly $700 million of committed borrowing capacity. Free cash flow, one of our key metrics as a management team gets close attention. As shown in the supplementary information furnished with the financial statements, we generated a record $500 million of free cash flow in 2009 compared to $253 million last year. On a constant dollar basis reduced investment in both accounts receivable and inventory contributed to our impressive year-to-date free cash flow performance. Capital investment in 2009 was lower than in recent years as work was largely completed on the three new plants we opened in emerging markets as part of our GMS program. Our total capital investment in 2010 as Bill indicated is expected to be in the range of $80 to $100 million to be used for a combination of maintenance and growth projects. This level of investment is consistent with our spending before commencing our GMS investments in 2006. Finally, our current available liquidity and projected free cash flow positions us to fund both our day-to-day operations and the W.R. Grace settlement should it become payable in the next 12 months. Now, I’ll turn the call back to Bill and to your questions.
William V. Hickey : Operator can we now open up the call to questions from the participants and we’ll follow up with any text questions from our webcast participants as well.
Operator: (Operator Instructions) Your first question comes from George Staphos – Bank of America Merrill Lynch.
George Staphos – Bank of America Merrill Lynch: Bill, I wanted to ask you as we look out to 2010 you’ve given us some broad parameters, we appreciate that, how do you see the mix of your business changing by product line? You’ve given us obviously the geographic mix it will be growing more quickly in emerging markets but how do you see the mix of business changing perhaps relative to 2009? And, are there currently within your business any product lines that are diverging from what is the current normal trend within any one of the geographies that we should be aware of?
William V. Hickey : Let me look. I would expect that in 2010 we will see some recovery in our protective business. You can see that protective really declined relative to food in the 2009 period primarily due to the impact of the economy on the industrial sector. As 2010 recovers even though it may be a gradual recovery, as I said during my prepared comments, we’re continuing to see sequential growth in the protective side of the business. The CT-301 which also serves the industrial sector has got a great cost benefit environmental study so I do see protective coming back up to more its historical percentage of the company. As I said also that geographically I fully expect that the US economy will painfully adjust to consumer spending dropping from 70% of GDP down to something in the high 60s and that will result in I think faster growth outside the US which we’ve seen in the fourth quarter. The fourth quarter numbers I felt were very impressive outside of the US with double digit growth in the emerging markets. If I look at products within the groups that may diverge regionally or in total I’d say the CT-301 is probably a positive one because it’s got a cost benefit environmental green story and it is also a new patented technology which should give us a leading position for a fair amount of time. The other one is the Ethafoam business which really is depending on more the tech sector and the computer sector and that probably will not come back as quickly although I’m hopeful. I do think the Ethafoam HRC to the extent that we can over a 65% plus recycled product with both the performance of Ethafoam type products with the cost and environmental benefits of being made from high recycled content, I’m optimistic that will turn upward a little more than we may have in our plan. The other one that’s running a little differently is the food service sector which is really in our food solutions business. That one has challenges in consumers eating out, getting back to the habits of eating out. I watched the news this morning at the gym how one family was preparing their dinner meals for eight years ahead of time so they could manage their budget and eat out less but that would be the only product that may diverge from my overall outlook.
Operator: Your next question comes from Ghansham Panjabi – Robert W. Baird & Co.
Ghansham Panjabi – Robert W. Baird & Co.: Can you comment on the pricing pressure on the protective packaging business? Is there a specific set of products that maybe you’re seeing outside pricing pressure and does it vary by geography?
William V. Hickey : It varies by geography absolutely. There’s different competitive profiles in the protective business around the world and the different technologies. But the place you’ll probably see the most competitive environment is really where there is excess capacity on a global basis is what I’ll call thin foams which is a very thin white foam sheets that are used to wrap materials, you’ll see it sometimes wrapped around furniture. That suffers from two factors, one is the capacity in the marketplace and the other is a lot of the end use markets are under pressure so that’s the combination. You do see a little bit of pressure on the mailer side but some of the things we are doing there to offset that are quite attractive. That’s overall and I’d say it depends probably Europe is the most competitive, US is probably second and the rest of the world probably tails off after that.
Ghansham Panjabi – Robert W. Baird & Co.: Just as a follow question Bill, the Ethafoam product that uses up to a minimum of 65% recycled materials, how does the manufacturing cost compare to the product using virgin raw materials?
William V. Hickey : I don’t want to do the math for you but you know the price of virgin and you can configure the price of recycled and it’s a good deal for the customer and for us. It’s really a technological breakthrough that our process engineers have developed to enable us to put that high of recycled content in a foam product and have the performance characteristics that you need to protect the fragile electronic items. But, I’d rather not go in to the details Ghansham.
Operator: Your next question comes from Claudia Shank Hueston – JP Morgan Securities.
Claudia Shank Hueston – JP Morgan Securities: I was hoping you could just comment quickly on the range of guidance for the full year of 2010 and maybe what’s driving the variance between the low end and the high end, is it mostly volume or other things that would drive coming in at the low end versus coming in at the high end?
William V. Hickey : It’s mostly volume. We’ve actually talked about whether it’s the US, it’s how confident are we in the strength of the US recovery. If it’s a very tepid recovery we’re probably at the lower end of the range, if it’s a reasonable recovery, it doesn’t have to be a robust recovery it just has to be a reasonable recovery and I think that would move us along to the upper end of the range. So really forecasting the outlook for the US economy, I’m more confident about economies outside the US but the US economy is still 45% of our business so that’s probably the principle factor.
Claudia Shank Hueston – JP Morgan Securities: Then just as a follow up, what’s your level of confidence around sort of developed Europe markets? Obviously, you’ve seen good strength in the emerging markets but what about the developed European markets?
William V. Hickey : The developed European market is a challenge. I think that from a cost structure, from a currency structure, from a demographic structure it is a difficult market but we are seeing some hopeful signs but I do believe Europe will trail the US in a recovery.
Operator: Your next question comes from Mark Wilde – Deutsche Bank.
Mark Wilde – Deutsche Bank: I wondered Bill if you could help us understand this weakness that you mentioned in the food packaging equipment sales over in Europe, how big a drop this was kind of either year-over-year or sequentially? Then, whether this drop off is going to alter growth rates in Europe over the next few years?
William V. Hickey : Well, the drop off has been in the 20% type range. Customer investments in food packaging equipment it’s an economic cycle issue. The countries where we have seen relatively large investments are basically Spain has been a big investor over the years and has dropped off quite significantly as unemployment in Spain has hit 18%. But, it’s a little bit better in the fourth quarter it was down about 12% and I think as confidence returns customers will be more inclined to invest. I think the equipment cycle and our food customer bases have very similar equipment cycle in most industries. In good economies people are confident to invest, in bad economies people are cautious.
Mark Wilde – Deutsche Bank: Then just as a follow on with food packaging, there’s been more talk about BPA the last two or three months, is there anything in the Sealed Air portfolio food packaging that has BPA content?
William V. Hickey : No, we do not have BPA in any of our products.
Operator: Your next question comes from Peter Ruschmeier – Barclays Capital.
Peter Ruschmeier – Barclays Capital: A couple of questions perhaps for David Kelsey on the P&L, the marketing expense for the quarter was a little higher than I expected and I was curious if you could comment if there’s anything particular going on there that we should think about an extrapolate in to 2010? Then the opposite was true of our expectations for D&A was a little lower than we thought and so I am just trying to extrapolate in to 2010 if there’s anything unusual about the quarter that should be extrapolated to the year?
David H. Kelsey : Peter, I’ll try to expand on the press release and the comments in our script and I’ll do the D&A part first. There are two things in depreciation and amortization, there’s the traditional depreciation of our plant and equipment which I think was around $155 million in ’09 and we expect to climb to about $160 million in 2010. The other item that gets reported there is the amortization of our stock awards which are non-cash award so it doesn’t get treated in the normal expense categories but rather gets treated as an amortization amount and we have split that out separately in the supplementary information to our financial statements. The number in 2009 I believe was around $38 million and we’ve rounded that off to $40 million in thinking about what it might be next year. So we don’t see a big change up or down in that expense next year. That is really what is driving the fourth quarter increase in our SG&A spending because that D&A line is consolidated in to our total SG&A spend.
Operator: Your next question comes from Al Kabili – Macquarie Capital.
Al Kabili – Macquarie Capital: Just a question on the 2010 outlook, you mentioned resin prices the expectation up mid single digits this year. I guess that sounds like it has the potential to be a decent headwind. In terms of pricing where are you at there? Is this a potential at the current pricing levels to be a pretty big headwind starting in the first quarter? Can you just comment on that?
William V. Hickey : Well, if you go back two years, double digit increases quarterly were kind of the norm if you remember and mid single digit is probably more easy to adjust but we’re looking at $0.04 on average out of a resin spend of fairly sizeable amount. It would be a little bit of a headwind but I think we’ve gotten our tools sharpened from the experience we had in the 2007/2008 period as we watched petrochemical feed stocks follow oil up to $140 a barrel. So oil in the $70 range I think becomes a manageable exercise.
Al Kabili – Macquarie Capital: So is your outlook then assuming flat price versus cost? Knowing that resin is going up are you baking in a headwind? Can you just help us on what your outlook is calling for relative to where current resin prices are?
William V. Hickey : I think we’ve given you our outlook, we’re giving you mid single digits in resin price and 4% to 6% sales increase. I’m not sure I understand your question.
Al Kabili – Macquarie Capital: What I’m asking is if you don’t raise prices versus current levels it would suggest that there’s a headwind there and are you baking in that headwind in the outlook or is the expectation that you can raise prices to offset this mid single digit resin price?
William V. Hickey : We are not baking in a headwind.
Al Kabili – Macquarie Capital: Then last on the 2010 outlook the follow up is as you mention the emerging markets growing faster than the developed markets with the GMS strategy pretty much put in place, are there differentials and margins at this point between the emerging markets and the developed markets that we need to think about?
David H. Kelsey : There is certainly a differential as we build those facilities up to full capacity so we’re not at even our 2010 projections going to be at full capacity that we have stretched across all the emerging markets so there is more potential there to leverage our fixed investment. But I will add on an overall basis that our expectations for incremental operating income coming in large part from emerging markets compared to our incremental revenue is an expansion on the operating income margins we achieved in 2009. So we will see as a result year-over-year improvement in our emerging market margins to achieve that objective.
Operator: Your next question comes from Rosemarie J. Morbelli – Ingalls & Snyder LLC.
Rosemarie J. Morbelli – Ingalls & Snyder LLC: Bill, you mentioned that your cost structure in Western Europe generally is a challenge and that you have a higher cost structure there. Could you give us a feel as to whether there are some steps that you can take there now that you no longer need to export products in to Asia from Western Europe? Can you eliminate some costs, some plans, some capacity? Can you touch on what you can do there?
William V. Hickey : Rosemarie, let me give you the quick thing, my comment on European cost structure I think wasn’t necessarily specific to Sealed Air. I do think that the European cost structure in general tends to be higher and you’re absolutely right there are things we can do. For example, one of the GMS programs which we announced in the fourth quarter was reducing production at one of our facilities in Germany where we’re able now to produce that product for other parts of the world at a lower cost. So we are doing that. I think also Dave may have mentioned earlier in 2009 that we had a European optimization program. We were looking at the various components of our cost structure in Europe particularly a term we call cost to serve. That is in progress on its way and that will bring our European cost structure more in line. You do have the ongoing challenges, there are 14 countries and each has their own accounting system and tax system so you do have to work your way around what is perhaps maybe a less efficient system in other parts of the world where you can reach large population groups with one structure. But, we’re working on it Rosemarie.
Rosemarie J. Morbelli – Ingalls & Snyder LLC: Could you answer the same question regarding North America because [inaudible] now you have facilities in Latin America, in Mexico, well I guess Mexico not in Latin America, any additional steps that you can take in our part of the world.
David H. Kelsey : Well, I think we have very good economies of scale already in North America. We have over the course of the GMS program announced the closure of two facilities namely our Canadian facility, part of which we moved in to our Rochester facility and last year a facility in Cedar Rapids Iowa. So we feel that on the food side of the business we have a good footprint in place, one that is very much in line with the business. On the protective side we’ve taken actions over the last couple of years under that similar centers of excellence approach to make the products in the most efficient possible locations. So that’s an ongoing set of programs but I don’t think we view ourselves as having a big disconnect in North America in our manufacturing footprint and in the current level of demand.
Rosemarie J. Morbelli – Ingalls & Snyder LLC: If you could talk a little bit more about the equipment side? You talked about it on the food side, could you give us a feel for what is happening on the equipment side of the protective packaging which if my memory serves me right, usually gives a feel as to where the business is going to pick up or not?
William V. Hickey : I think it’s about the same, perhaps there’s a little more positive – in fact, I just happened to talk with one of the equipment fellows the other day, the order book on some of the industrial equipment is actually up a little bit so that does foretell a positive trend on the protective side which is consistent with the sequential improvement that we’ve seen.
Operator: Your next question comes from Richard Skidmore – Goldman Sachs.
Richard Skidmore – Goldman Sachs: Just to follow up on a couple of questions, first now largely that your GMS program is done but also given your focus on the emerging market growth, how do you feel about your current footprint? Are there any additional needs or regions where you think you could potentially add some additional capacity?
William V. Hickey : I think if you look at where we are, we’re well positioned in Asia; Eastern Europe, we’re very well positioned; Latin America. I guess if I had to look out to where we’d be the next place where we would consider about adding capacity as the market grows it’s probably Latin America. It could be kind of the Brazil region of Latin America, so that’s sort of on our planning horizon but we’ve made no commitments at this time.
Richard Skidmore – Goldman Sachs: Then just to dovetail on that question it sounds like there’s not any big incremental capital that might come in 2010 and possibly even a little further out so how do you think about use of free cash flow? You mentioned $300 million is sort of the guidance for 2010, how do you think that plays out in terms of your usage of free cash flow in 2010?
David H. Kelsey : With the financings that we’ve done in 2009 we don’t have any near term maturities to address so the first course of business will be to support some growth in working capital. On the assumption that we’re in that 4% to 6% volume gross range we would expect there to be some modest increase in working capital to support that growth. Then beyond that, we continue to have our dividend payment and we continue to look at ways to be good stewards of that cash and put it to the best use for our shareholders.
Operator: Your next question comes from Sara Magers – Wells Fargo Securities.
Sara Magers – Wells Fargo Securities: I just want to do one clarification, on the 4% to 6% sales growth for 2010 is that all volume or are there assumptions for price or mix in there as well?
William V. Hickey : It’s both.
Sara Magers – Wells Fargo Securities: It’s both volume and price and mix?
William V. Hickey : Yes.
Sara Magers – Wells Fargo Securities: Is it possible to get that broken out at all?
William V. Hickey : I don’t have it right here Sara, maybe you can check back with Amanda later. I’m not sure we’re ready to publish it though.
Sara Magers – Wells Fargo Securities: Then for my question, you provided free cash flow guidance of about $300 million for 2010, I understand that cap ex is expected to be up but where is the remaining delta going I guess against what free cash flow was in 2009? You had about $500 million outlined in your release for free cash flow in 2009 and you’re guiding for $300 million in 2010, I’m just wondering where the differences are?
William V. Hickey : I’ll let Dave finish it Sara but the biggest answer is inventory went down on a currency adjusted basis $115 million and we don’t expect to do that again.
David H. Kelsey : That’s a fair statement, we don’t expect that kind of improvement in inventory. We were able to significantly leverage both the benefits of our GMS capacity and the capabilities of SAP in 2009 to significantly bring down inventory across the board. There’s an ongoing project there but I don’t think we’ll see anything like that and in fact we could see some growth in support of our top line growth. The same thing in accounts receivable, we had significant efforts to bring that investment down and we at this point view ourselves as leveling out. So if you look at cash coming from operations less our capital spending I think you would get in to that low to mid $300 million range if you assume we’re not going to get any incremental improvement from working capital which was well over $100 million in 2009.
Operator: Your next question comes from Joseph Naya – UBS.
Joseph Naya – UBS: I was just wondering if you could offer any comments about what is going on in export markets in particular kind of from Latin America to Europe? Have there been any developments or changes there?
William V. Hickey : Was that export markets of any particular products or in general just so I can put the right perspective on it?
Joseph Naya – UBS: Well I was thinking protein markets specifically but just kind of generally what you’re seeing out there in the marketplace?
William V. Hickey : Well I do think in Brazil the exports are kind of down but my own hope is that they will come back up. The reason they’ve been down is because of the strength of the Real in Brazil has really given Brazil a little bit of a competitive disadvantage than what they’ve had before. We’re still hopeful that protein exports from the US will go up particularly to Asia. I know there are negotiations ongoing now with the Japanese about raising the age limit from 19 months to 21 months. So overall increases from other countries particular to Asia and decrease in Brazil primarily due to currency.
Joseph Naya – UBS: Then I guess taking a step back can you offer any comments in terms of what you’ve been seeing in your overall volume trends so far in 2010?
William V. Hickey : In 2010?
Joseph Naya – UBS: Yes.
William V. Hickey : I don’t think we’ve said anything about it and I really don’t have anything to say right now.
Operator: Your next question comes from Analyst for John McNulty – Credit Suisse.
Analyst for John McNulty – Credit Suisse: I just wanted to see if you could comment on what you expect the magnitude of the Venezuela impact to be in 2010? You mentioned that in your guidance?
David H. Kelsey : It’s a bit of a moving target as I think those who have been following the situation down there that developed down there earlier this month as to what the actual exchange rate will be relative to converting our profits in Venezuela back in to US dollars. But, worst case scenario we’re talking about something that will be no greater than $10 million and right now we’re not sure there will be an effect of more than $1 or $2 million. So it is still an open issue for us but it is not nearly the material impact that you’ve seen from some other companies that have come out recently with press statements.
William V. Hickey : Operator before we go back to second round on the telephone I have a couple of questions that have come in from the webcast and let me sort of go through those quickly. The first question is in the press release we note there is a $200 million reduction in resin costs in 2009, is this total year-over-year decline or the effect of cost decline due to lower prices? If the former, how much resin cost reduction is due to price versus volume? I’ll try to be as simplistic as I can here. The $200 million is on a price per pound basis and that is assuming constant volumes so that would be the price per pound, that would be the price variance. Actually offsetting that was about $140 million impact due to lower volumes so essentially lower volumes absorbed a fair amount of the price impact on resin. Let me go to the next question, in 2009 Sealed Air achieved a 12% adjusted operating margin. Do I see the company being able to achieve 15% target? It is our target, it is our management target and we definitely are committed to achieving it and 2012 is a reasonable number if modest economic growth prevails over this period would be the caveat. The last question on the Internet is can I discuss our medical strategy at this time and comment on our progress and outlook for the growth of this business in China and the Far East specifically? Our medical business is progressing well. We are in the process of renewing our import license in China. We are reasonably confident that we’ll get that approval. We know it could be a disruption in our supply chain should there be any delays in that but we are hopeful and we should know something there by the end of the first quarter early second quarter. We have actually seen 21% growth in our medical business in Asia in the fourth quarter. The Far East specifically, we’re beginning to reach customers in India and other parts of Asia so we are really looking to grow where the healthcare systems are improving and as people’s standards of living improve there’s more focus on healthcare. That’s kind of a quick summary of what our strategy is on Asia for the medical business. Let’s go back we have two more questions on the telephone. Let’s try to cover those quickly and conclude our call thereafter.
Operator: Your next question comes from George Staphos – Bank of America Merrill Lynch.
George Staphos – Bank of America Merrill Lynch: Bill, two questions one triggered off of your answer to one of the text questions. I think you mentioned that the effect of volume in 2009 was something like $140 million and if I do some rough math on what you said the volume change was in ’09 that would suggest a decremental margin of at least 30% perhaps closer to 40%. This year as we look out to 2010 and look at the implied guidance, it seems like you’re using more like a 20% perhaps even lower amount of incremental margin off your core revenue forecast. Are the international regions that much lower margin wise in terms of incremental? Because if all you are doing is eating in to excess capacity I would think that frankly the margin would be higher. That’s question one and question two, currently we are going through a process here in the states with US red meat consumption being flat to down. It is to be expected at some point we would hope that that will recover. Do you think that the fact that herd sizes are still declining might affect a recovery in consumption in red meat any time in the next couple of years or do you think that will be a secondary consideration?
William V. Hickey : Let me ask Dave to take the first part of it just to follow the math.
David H. Kelsey : George, to be honest I’m not sure I can follow the math that you were describing for 2009. I guess for starters are you talking about gross profit margin or operating income margin?
George Staphos – Bank of America Merrill Lynch: My sense is operating income because that is what I thought you referring to. I don’t want to get you too much in to the weeds here on the call but I think you said 7% or 8% volume decline this year so if I apply that to last year’s revenue base that would give me a denominator and I’ve got $140 million number that you threw out just before on the question so that would equate to a greater percentage than again by my math with the incremental margin would be this year.
David H. Kelsey : We may need to take that offline with Amanda because I think if you make all the adjustments including for foreign exchange our reported operating margin increased barely substantially.
George Staphos – Bank of America Merrill Lynch: But Dave there should be no foreign exchange effect because you gave it on a constant currency base when you’re referring to volume. But we can come back to it. My guess is internationally if you’re absorbing excess capacity that should be fairly profitable incremental margin, no?
David H. Kelsey : Yes and on a going forward basis, and again this is where we need to compare calculations, if I look at the incremental revenue and incremental operating income for 2010 it’s significantly above the run rate that we had in operating margin in the fourth quarter of 2009. So I think we need to work through this in more detail because our takeaway is we are actually going to be improving our year-over-year margins through adding revenue back in to the system and getting operating leverage. That is definitely part of the operating plan we have for 2010.
George Staphos – Bank of America Merrill Lynch: What about in terms of red meat consumption relative to herd sizes, what do you think?
William V. Hickey : George it is about a 2% decline depending on the forecast that you look at for 2010. The number we actually look at more than just herd size is the feed lot because essentially to use the term that’s the feeder to our business as opposed to the herd size and that number is probably down a little less than 2% but again, to the extent that we’re sort of factoring in an increase of export out of the US that should keep US numbers for our business reasonable level or slightly down which we have factored in to our outlook.
Operator: Your next question comes from Mark Wilde – Deutsche Bank.
Mark Wilde – Deutsche Bank: Just a couple of follow ups on margins, Bill can you talk a little bit about margin compression that we saw in food solutions in the quarter and whether you think those margins have stabilized now or whether you have a real opportunity to return them to kind of double digit levels next year?
William V. Hickey : There are two factors that hit food solutions actually the quarter versus the year but one in the year there was a particular customer claim for several million on that hit to food solutions business for segment reporting. That’s in the full year’s number. The second item is that when we made the delta between the 2008 and 2009 incentive compensation food solutions was one of the businesses that was affected by that compared to the other businesses. They were allocated to all of the businesses but particularly it’s a component of that one. The third is that the food solutions business has got several hundred million dollars of outsourced trades that go in to our case ready business and that’s always a catch up since we’re buying product and the price formulas there tend to lack a quarter. So food solutions overall though less I paint too rosy of a picture, I think it’s got a very, very positive outlook but it really is focused on the restaurant trade and the food service trade which has been disproportionally impacted by the consumer’s not eating out as much and scaling back their consumption of kind of convenient and easy to eat and purchased foods for eating outside the home. So the outside the home component is probably as much of an impact as anything else.
Mark Wilde – Deutsche Bank: Then finally, in terms of the bigger picture operating margins, that 300 bips that you talked about picking up by 2012 should we understand that to be really just a volume question more than anything else?
William V. Hickey : It is primarily a volume question, yes. There’s a fair amount of leverage in our P&L if you look at what we’ve done over the couple of years and with the GMS program and the cost reduction program in the 2008/2009 period. So with the investments in place, the capacity is there to leverage quite a bit. It is cranking up the volume story which I think our team is really ready to do. We’re really ready to do. We spent a couple of years getting the house in order and now we’re out on the field and we’re going to put some scores up on the score board. At this point we’ve run slightly over time. The questions were good but I’d like to thank you for participating in our call today. I hope you will all join us the rest of the day in celebrating the 10th annual bubble wrap appreciation day. We’re proud to have the golden opportunity to celebrate the 50th birthday of Sealed Air brand cushioning and it was the product that launched Sealed Air. Additionally, we’ll be celebrating Sealed Air’s 50th anniversary as a company on February 25th, the date of our incorporation. Before we leave here I want to thank our customers, our partners, our shareholders and especially our employees. Their hard work and sacrifice to rise to the challenges of the difficult economic environment in 2009 ultimately delivered the results and positioned us well to capture the opportunities that lay ahead. As we look out to 2010 we look forward to building on our momentum, the results and the relationships that we’ve established. Thank you for taking the time to listen today.
Operator: Thank you for your participation in today’s conference. This concludes our presentation. You may now disconnect. Have a good day.